Operator: Greetings, and welcome to the Hill International reports 2016 Third Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Devin Sullivan, Senior Vice President of The Equity Group. Thank you, Mr. Sullivan. You may begin.
Devin Sullivan: Thank you very much, Tim. Good morning, everyone and thank you for joining us today. Our speakers for today will be David Richter, Chief Executive Officer of Hill International and John Fanelli, the company’s Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind everyone that certain statements made during this call maybe considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and it is our intent that any such statements be protected by the Safe Harbor created thereby. Except for historical information, the matters set forth herein, including, but not limited to, any projections of revenues, earnings or other financial items; any statements concerning plans, strategies and objectives for future operations; and statements regarding future economic conditions or performance are forward-looking statements. These forward-looking statements are based on our current expectations, estimates and assumptions and are subject to certain risks and uncertainties. Although we believe that the expectations, estimates and assumptions reflected in forward-looking statements are reasonable, actual results could differ materially from those projected or assumed in any of our forward-looking statements. Important factors that could cause actual results, performance and achievements or industry results to differ materially from estimates or projections contained in our forward-looking statements are set forth in the risk factors section and elsewhere in the reports we have filed with the Securities and Exchange Commission. We do not intend and undertake no obligation to update any forward-looking statement. With that said, I would now like to turn the call over to David Richter. David, please go ahead.
David Richter: Thank you, Devin and good morning to everyone joining us for today’s earnings conference call. Yesterday, we announced our financial results for the third quarter of 2016. We delayed the release of our earnings and the filing of our 10-Q because our auditors took a different accounting position that we did on the treatment of our receivables on our Muscat International Airport project in Oman. We prepared a position paper on our accounting treatment and requested the FCC to review our position. The FCC concurred with Hill’s opinion and as a result, our auditors reversed their position. So, we filed our earnings and our 10-Q yesterday. Now, let’s get back to the numbers. Hill’s total revenue in the third quarter was $168 million, a 6% decrease from the third quarter of last year. Consulting fee revenue for the third quarter was $148 million, a 7% decrease from last year’s third quarter. The overall 7% decline in our consulting fees was driven primarily by $11.4 million decline or 19% in our Middle East project management operation and by a $2.2 million drop or 32% Latin American PM operation. This decline was partially offset by strong growth in our U.S. project management business, with consulting fees up $4.2 million year-over-year or 13%. With respect to the geographic breakdown of our growth, the U.S. was our fastest growing region during the third quarter with consulting fees up 11% company-wide. That was followed as well by Asia-Pacific which was up 1% and Africa which was essentially unchanged from last year. We saw declines in consulting fees in Europe, which was down 11%, in the Middle East where they were down 14%, and in Latin America where they were down 30%. Companywide, our gross profit in the third quarter declined to $66.8 million, down 4% from the third quarter of last year. Some of our gross margin as a percentage of consulting fees was up 140 basis points to 45.1%. During the third quarter, we incurred extraordinary expenses totaling $10.6 million, which added to our SG&A expense and adversely impacted our profitability. Bad debt expense rose by $8 million from last year as a result of increased accounts receivable reserves, primarily in the Middle East and Asia and legal and other expenses increased by $2.6 million from the third quarter of last year primarily in connection with our recent shareholder proxy contest. As a result, our SG&A expenses in the third quarter was $67.2 million, up 17% from a year ago. Our SG&A margin as a percent of consulting fees was up 910 basis points to 45.4%. Hill’s EBITDA for the third quarter was $1.9 million, down 87% from last year. EBITDA margin as a percent of consulting fees was 1.3% in the third quarter, down from 8.9% a year ago. Operating loss for the quarter was a negative $0.5 million versus an operating profit of $11.7 million from last year’s third quarter. Our interest expense was lower in this year’s quarter at $3.4 million, down 19% from a year ago and our tax expense was also down significantly at $2.9 million, down 32% from last year. As a result of all the above, Hill had net loss for the third quarter of $6.9 million or $0.13 per diluted share compared to net earnings of $2.9 million or $0.06 a year ago. As a result of this quarterly loss, Hill would have in default of certain financial covenants under our senior credit facility, while we have taken waiver of these defaults from our lending group. Now, looking at the third quarter performance of the two operating segments separately, total revenue at our project management group during the third quarter was $125.9 million, a 7% decline from the third quarter of 2015. Consulting fees for the quarter at the Projects Group were $106.9 million, an 8% decrease from last year. The Projects Group saw a 6% decline in gross profit to $37 million for the quarter, with gross margin on a percentage basis at 40.7%. It was actually up 120 basis points from last year’s third quarter. SG&A expenses at the PM group were up 21% for the quarter to $37 million driven by account receivable reserves. As a percent of consulting fees, SG&A margin for the group was up 840 basis points from the prior year to 34.7%. Operating profit for the Projects Group was $6.5 million, down 58% versus the third quarter of last year. And operating margin as percentage of consulting fees was 6.1%, a 710 basis point decline from a year ago. For our construction claims group, total revenue during the third quarter was $42.1 million, a 3% decrease from the third quarter of 2015. Consulting fees for the Claims Group were $41.1 million, a 2% decrease from last year. The Claims Group saw a gross profit of $23.2 million, unchanged from a year ago. Gross margin as a percentage of consulting fees was up by 130 basis points from last year to 56.4%, a positive trend. SG&A expenses of the Claims Group were up 6% to $19.7 million during the third quarter. And as a percentage of consulting fees, they were up 360 basis points to 47.8%. Operating profit for the group during the third quarter was $3.6 million, down 22% from the third quarter of last year and operating margin as a percentage of consulting fees was 8.6%, down 230 basis points from last year. In addition to the SG&A incurred by our two operating segments, we also incurred SG&A in our corporate group. For the third quarter, our corporate SG&A expenses were $10.5 million, up 20% – I am sorry, up 27% from a year ago driven by unusual items. As a percent of consulting fees, they were 7.1% for the quarter, up 190 basis points from a year ago. Hill’s backlog was down slightly by less than 0.5% to $944 million at the end of the third quarter. This backlog consisted of $888 million from our project management group and $56 million from our construction claims group. The geographic breakdown of our total backlog was 46% from the U.S., 39% from the Middle East, 5% from Europe, 5% from Africa, 3% from Asia-Pacific and 2% from Latin America. Our 12-month backlog at the end of the third quarter was $413 million, unchanged during the quarter. This was broken down into $358 million from our project management group and $55 million from our claims group. We sold new work during the third quarter of $143 million, which equates to a book-to-bill ratio of 97%, nearly equal to our CFR for the quarter, but well below our minimum quarterly target of 110%. The largest contracts we won and announced during the third quarter include the following; a $55 million contract to provide project management services to Valley Metro Rail in Arizona, a $43 million amendment to our contract to provide construction management services to the Doha Metro Green Line in Qatar, a $43 million contract to provide project control services at L.A. International Airport, a $25 million contract to manage the reconstruction of the Scudder Falls Bridge between Pennsylvania and New Jersey, a $19 million amendment to our contract to manage construction of the East Link Light Rail Extension Project near Seattle, a $10 million contract from Amtrak to provide program management support services on the multi-billion dollar gateway program between New York and New Jersey, a $6 million dollar contract to manage the commercial development in Lusail City in Qatar, a $4 million contract to manage development of the Helios Towers in Abu Dhabi, a contract to provide project delivery services at the Newark’s Liberty International Airport and a contract to provide major renovation construction management services in Europe for Blackstone. With respect to guidance, we have amended our prior guidance. The consulting fee revenue in 2016 will be between $630 million and $660 million. We have lowered this expectation to between $600 million and $610 million for the year. This is the result of continued weakness in the Middle East and Latin America operations of our company. This new guidance reflects between 3% and 5% drop in consulting fees for the full year. We also lowered our prior guidance to 2016 EBITDA margin as a percent of consulting fees will be between 8% and 10%. Our new guidance reflects of our very low EBITDA margin in the third quarter is now for EBITDA margin for the full year in the range of 4% to 6%, down from 6.5% in 2015. With that, John Fanelli, our CFO and I are happy to answer any of your questions.
Operator: At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Tahira Afzal of KeyBanc Capital Markets. Please proceed with your question, Tahira.
Tahira Afzal: Hi David.
David Richter: Hi, good morning Tahira.
Tahira Afzal: David, first question is when I read through what’s happening in the Middle East, generally comparative what we saw this quarter, but my sense is at best this remains a soft trend, but there is also a scenario which it gets worse and I just wanted to talk to you about how you are planning to strategize around potentially something worsening or at least remaining soft as you look out into 2017?
David Richter: Yes. We will continue to see softness in the Middle East. I don’t know if that’s a surprise to anybody. We have had some major projects roll off, so far this year and that’s impacted our revenue. We are not saying canceled projects, but we are not seeing a lot of new projects coming into the business. Our plan is simply to continue to downsize the overhead operation of the Middle East business as it continues to shrink. We are anticipating that, that business will be slower in 2017 than it was this year and it was slower this year than it was last year. So we are planning for that and we are going to make sure that our overhead costs come down accordingly. The upside is that we are seeing real strike in our U.S. business which is growing double digits. And we won some significant contracts this year and we expect that’s going to continue.
Tahira Afzal: David, as you look out when does the trends in the U.S. business offset the Middle East potentially soft even more, can we see the trend actually inflecting on your top line and in utilization in 2017 or do you think 2017 is the transition year at this point?
David Richter: I think we are going to grow in 2017. Obviously, the biggest negative is the Middle East project management business. The claims business there is holding up well. We are expecting growth in claims. We are expecting growth in the U.S. We are expecting growth in Europe and Asia and Africa. I think Latin America will continue to be troubled and we are hoping the growth and the growing parts of the world offset the shrinkage in the parts of [indiscernible].
Tahira Afzal: Alright. Thank you. And I will hop back in the queue David.
David Richter: Thanks Tahira.
Operator: Our next question comes from the line of Pete Enderlin of MAZ Partners. Please proceed with your question.
Pete Enderlin: Good morning David and John.
John Fanelli: Good morning.
David Richter: Good morning Pete.
Pete Enderlin: David I can understand why the Middle East program management business declines so sharply 19%, but it’s not so clear why the decline accelerated in the third quarter or why the company still maintain your revenue guidance for the full year when you were more than a third of the way through the third quarter?
David Richter: That’s a fair question. We have to give the guidance based upon, as you know second quarter performance. We couldn’t give – excuse me, we tried very hard not to give anybody a heads up on how the quarter is performing mid-quarter. In August, we had second quarter numbers. We did not yet have when we released the second quarter numbers in July. July was weak this year because Ramadan fell in July that had a big impact on us, both revenue and profitability wise, but we were anticipating that. We have seen a much more significant drop I think in the third quarter than we were anticipating and we wanted to wait until we had more definitive numbers before we gave revised guidance. As you can tell, we not only lowered range, we also narrowed it. We only got one quarter left and we got a pretty good indication on how that quarter is looking. And so we lowered our guidance with this announcement.
Pete Enderlin: And as far as the deepening of the decline, the energy industry in general sort of stabilized and oil prices rebounded, was there some specific political factor that caused some projects to be delayed or new projects to be canceled, I just don’t quite get the dynamics of how that deepening trend occurred?
David Richter: It’s not – the overall company and the initiation of projects, it’s not as elastic as oil prices. We saw oil prices begin to creep up over the last several months obviously that’s the trend we want to continue for the benefit of that business. But just because oil prices were up doesn’t mean all of a sudden new projects are being launched weeks later. But the area that regional oil continues to be really handicapped in their spending, in their planning going forward on new project activity both public and private sector, probably what’s happened with oil prices in the last 18 months to 24 months. And I don’t think that’s going to rebound as sharply as you might have. But certainly we – while we are winning work this year at a faster cliff than last year, I think that we are going to continue to see a soft market. As that work flows through us, we are going to continue to see some big projects for a while the Oman Airport for example is expected to be completed in mid-2017. We have been downsizing that project and that’s going to continue for the next nine months. So we are planning for continued weakness in that market. I don’t think it’s going to bounce back just because oil is up the last couple of months.
Pete Enderlin: Okay. And...
David Richter: They are hopeful that will be the case, but we haven’t seen any evidence of that so far.
Pete Enderlin: Right. In terms of how quickly you can get a handle on your top line in the Middle East, what is the delay in actually reported numbers from that particular region, is it more of a problem in other areas?
David Richter: When you say delay in reporting the numbers, you mean the delay we had in announcing our earnings this quarter?
Pete Enderlin: No. I am talking about just you internally getting the handle on top line growth in the two groups by region?
David Richter: No, there was no delay and I was getting a handle on where things are going. We just decided not to – back in early August, make an announcement or change our guidance at that time. This quarter, we are good.
Pete Enderlin: Okay, fair enough. And then just to clarify, the EBITDA margin guidance of 4% to 6% is an all-in number including the $10.6 million of unusual items in the third quarter?
David Richter: Yes, that’s correct.
Pete Enderlin: Okay. Thanks a lot.
David Richter: Thank you, Pete.
Operator: [Operator Instructions] We have a follow-up question from the line of Tahira Afzal of KeyBanc Capital Markets. Please proceed with that follow-up, Tahira.
Tahira Afzal: Thank you. Hey David, in terms of interest expense and the potential for refinancing given this recent deterioration has that changed he timeline and horizon for a potential refinancing?
David Richter: That’s always been on the distant horizon. Nothing has been imminent. We have had conversations with our banks and all sorts of things recently. But I would not expect we are going to be staying on the time in the next, let’s say, a quarter or so talking about renegotiating rates.
Tahira Afzal: Got it, okay. And David, if you are looking projects like the very large airport sort of falling off in the middle of 2017, are you already planning for that proactively around headcount and utilization?
David Richter: Yes. Of course, we are. The staffing on the Muscat project has already come down significantly this year. By the – certainly by the beginning of the second quarter of next year, it will be coming down conservatively as the project starts to be completed and yes we are planning for that.
Tahira Afzal: And are you looking at some of the – when you are looking at your Middle East activity in general David and you are seeing where projects complete, what is your general assumption that you will be able to replace that at this point or as you look at utilization proactively, are you assuming in general that large projects will be difficult to replace?
David Richter: Well, obviously Muscat Airport is one of our largest – the largest project we have right now. We also have a lot of work that we have won this year. Work – extension of existing work that we know we will continue for many years. We have some new projects that are ramping up as well where we can transfer staff from projects that are in wind down mode or that have completed. We also have expectations for some large project wins in the next couple of months. So one of the things that we have to do on a constant basis is manage our workforce, make sure it’s in line with how much work that we had again and people are coming on and off projects all the time. So that’s something we manage very carefully.
Tahira Afzal: And David, if you look at what’s happened last week with the elections, clearly a lot of interest in civil infrastructure again in the U.S., from your perspective, you are doubling private and public partnerships, lot of other types of projects as well, what’s your initial thought around what’s going to transpire what is – what might end up just being rhetoric?
David Richter: Certainly, we have high expectations for the level of infrastructure spending, that’s going to be coming I think both Presidential candidates were talking about that on – during the campaign so much from our perspectives. We are public instead of existing economy. And the economy is doing well. Construction activity is going to be up. So we are fairly confident about what’s going to happen over the next couple of years in the U.S. regarding both public and private spending. We are in certainly ramp up mode regarding our U.S. operations. We have brought some key people on board and expect to continue to do that, expect that business can continue to grow in double-digit percentages which is good for us. We have had a lot of negative reactions by many on Wall Street that Middle East was too large a component of our business. It’s beginning to come down. The U.S. is growing, which is exactly how we wanted to happen. We want the U.S. to be the largest region in the company. So many acquisitions we do going forward, it will be primarily focused on the U.S. market. We want to continue to build out that capability. And I think as those trends continue, we should be in pretty good shape.
Tahira Afzal: David, if you look a year out or 2 years out, can you sort of think about sort of rough percentages that these two regions will contribute versus what they are today?
David Richter: Yes. I think that for a combination of organic growth and acquisitions, I think in a couple of years you are going to see a flipping of their percentages, much closer to 40% to 50% U.S. and probably in the 25% to 30% range for the Middle East. We liked about half of our business to be in the U.S. That’s a pretty good target number.
Tahira Afzal: And last question for me around that, if there is going to be a search, I assume a lot of your competitors in the U.S. will also be looking for labor resources. How do you plan around that given that’s probably the largest element of your direct cost?
David Richter: Tracking and keeping the best people in the industry is our biggest challenge and it’s one I think we meet very well, primarily because of the specialized nature of our business means the project managers come here and they are part of the company that does exactly what they do. Same thing on the claims side, as the biggest and best claims firm in the world, we attract the best professionals. And it’s what differentiates us from our competition, the quality of the people who work here. Certainly, a lot of our competitors, especially the public sector ones have had a very challenging time of late. A lot of firms are shrinking in this business as part of that’s the price of oil, because a lot of them are tied to that market, but a lot of its other issues as well, firms that are tied have had some challenges of late. You can see that in the stock prices in the companies that you cover, Tahira. So, it’s been challenging. I think that certainly we have more exposure to the Middle East for any of the firm. And right now that’s a very challenging market that’s impacting our numbers and also have an effect on the accounts receivable reserves we had to take during the quarter as our clients are watching their mind more carefully, have slowed down some payments to us and we are managing our thought process very carefully. But it’s certainly vis-à-vis our competition, I think we are doing a better job than most.
Tahira Afzal: Thank you, David.
David Richter: Thanks, Tahira.
Operator: Our next question comes from the line of Paul Dircks of William Blair. Please proceed with your question.
Paul Dircks: Hi, good morning.
David Richter: Hey, good morning, Paul.
Paul Dircks: So David, could you perhaps talk to us a little about kind of the resolution to the proxy contest about how the resolution came to be and in the last couple of months with the changes we have seen on the Board of Directors and the new Chairman of the Board, maybe you could talk to us a little bit about how some of those early meetings, discussions and thoughts on the company’s strategy have evolved over the last few months?
David Richter: Sure, as I’d be happy to. We came to resolution regarding the proxy contest where we had both agreed to a 10% board, where their candidates would be elected and in addition to the two independent directors that we added to the board over the past year as recommended by a couple of our major shareholders. They got 5 out of 10 and so the Hill legacy directors will give a thought. So, well that sounds like a recipe for gridlock and deadlock on the board. We viewed it as the opposite and it goes on to the same. It’s a situation that forces us to work together and cooperate. Neither one can force the gender on the other side. And in reality, that’s exactly how it’s worked out. I have been really presently surprised with the attitude of the new directors, their willingness about the sleeves and learn about the business and work cooperatively all 10 of us on the board to focus on the key issues that are faced in the business, how we resolve them, and how we get the business moving forward more profitably and I expect that kind of very positive working environment is going to continue. There was certainly a lot of concern within the company that this was a Doomsday situation and I don’t think anything close to that has happened. I feel very optimistic about the board and what they are focused on and their willingness to work with each other to hopefully get our stock a lot higher. That’s the goal of everybody here. I think the primary focus of the board over the next couple of quarters is going to be cost control. Obviously, we had a lot of extraordinary circumstances this quarter which affected our earnings. But even going forward, just given the kinds of challenges we are facing in the Middle East, we are going to take a real strong look over the next couple of months on our corporate overhead and the indirect costs of our two operating segments and really trying to get this company operating a lot more efficiently. We have got that direction from the Board, I think it’s the right one and we got full cooperation of the management team in making that happen. So that’s our focus for the next quarter or two quarters.
Paul Dircks: Thank you. That’s very helpful color. And I was just going to ask my second and final question would simply be, as you look forward to 2017 and appreciating the fact that you guys are planning for continued challenges in the Middle East, how should we think about your ability or Hill’s ability to generate profits in each of its business and hit its corporate overhead target of about 5% of CFR, are you thinking that being able to be within the target profit ranges in project management and construction claims is possible or should we think of next year as being a transitional year and hopefully maybe in 2018 with a little bit more of a normalized sort of stable environment as target margins could be achieved at that time?
David Richter: Well, starting with claims, I think claims is in good shape. They had a solid quarter. They had somebody else included in that $8 million number as well that impacted them. But on a normalized basis, they had a very solid quarter. In project management, obviously the cash cow of our business which is the Middle East for a long time, we are going to see decreased profitability there. I think it’s going to make that harder for us to achieve that 15% target that we have always been shooting for. And I would expect that business to be less profitable in the short-term until Middle East will balance. So we are going to focus on the cost side and certainly at the corporate level. I think the target that you will see for next year will be under 5%. We can’t get down that number.
Paul Dircks: That’s helpful. Thank you, guys.
David Richter: Okay. Thank you, Paul.
Operator: Our next question is a follow-up from the line of Pete Enderlin of MAZ Partners. Please proceed with your follow-up question.
Pete Enderlin: Yes. Thank you for taking my follow-up. Regarding the Oman accounts receivable, have you collected within the stated terms or was that some of the $8 million of write-offs that you took in the quarter?
David Richter: Yes. That’s a good question, Pete. No, none of the write-offs that we took in the third quarter were related to Oman. Our auditor was taking the position, because Oman first of all it’s a very significant receivable, not just the existing accounts receivable which we had about five months or so on the books. We have been paid by that client through April 30. But we also have retainage, let’s call it a DLP, defects liability period, which is a certain amount of our contractual funds that we held until the end of the project – at the end of defects period. Altogether those are about $40 million currently. So I think because of the significant size of the receivables, given what we had to go through the last year regarding restating our financials because of Libya, I think there was some concern by our auditors that Oman was the next Libya. We disagree. We have a very good working relationship with our clients. We have collected significantly over $40 million so far this year, including an $8 million payment in early November. So we think that receivable is fully collectible. We didn’t want to take any reserves on it, put it back to the FCC and the FCC was satisfied with how we are accounting for and with the disclosure we are providing in our 10-Q.
Pete Enderlin: Okay, thanks. And in a quarter that didn’t have a lot of good news and one other things that you did seem to do very well was controlling the costs in the two operating groups, can you talk a little bit about how you have handled the unallocated compensation expense and what effect that might have had on SG&A in those two groups?
David Richter: Well, on this enterprise [ph] labor is a cost that goes into SG&A when people aren’t busy. When you are having a slow quarter, it can drive up the overhead costs to make it look like you don’t have your arms around that particular cost.
Pete Enderlin: But your gross margins were good?
David Richter: Gross margins were good, which is very positive. And I think you are going to continue to see us continue. We are going to have an even more aggressive stands on SG&A. When I came in as CEO last year, we went through a big round of cost cutting. We took out $21 million of overhead cost. We are going to be equally aggressive over the next let’s call three months to six months, trying to get our overhead costs as low as possible. We can’t keep balancing between profitability and masses. We have got to be able to deliver consistent profitability in this business, we should be able to even when certain regions are having difficulty. And the only way we are going to stock price up to where we think is a reasonable level is to be able to deliver consistent earnings and deploy a reasonable fee multiple to it and get a – we think is a reasonable stock price out of it. We certainly don’t think is a reasonable stock price. We have got a lot of work ahead of us and we are doing everything we can and the new Board is doing everything they can to get that price higher.
Pete Enderlin: Have you had any reductions in professional headcount during the third quarter?
David Richter: Yes. We got some. I think that on a net basis.
Pete Enderlin: I mean can you give us a sense of how much?
David Richter: Yes. Well, I was going to say on a net basis, I think we are down about 50 employees during quarter. We have significantly downsized in the Middle East and Latin America and that’s been offset by us growing in the U.S. and in Europe and adding staff in those places. I think you are going to see that number come down either more so over the next one quarter or two quarters.
Pete Enderlin: Okay, thanks a lot.
Operator: There are no further questions of the audio portion of the conference at this time. I would now like to turn the conference back over to our CEO, David Richter for closing remarks.
David Richter: Thank you very much. And thank you everyone for your interest in our company and our stock and for participating in our call this morning. We are looking forward to delivering much better earnings news on our next earnings call in early March. Thank you very much.
Operator: This concludes today’s conference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful rest of your day.